Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Ralph Lauren Corporation Fourth Quarter Fiscal Year 2025 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session. Instructions on how to ask a question will be given at that time. If you should require assistance during the call, as a reminder, this conference is being recorded. I would now like to turn over the conference to our host, Ms. Karina Vanderkins. Please go ahead.
Karina Vanderkins: Good morning, and thank you for joining Ralph Lauren Corporation's fourth quarter and year-end fiscal 2025 conference call. With me today are Patrice Louvet, the company's President and Chief Executive Officer, and Justin Padicci, Chief Financial Officer. After prepared remarks, we will open up the call for your questions, which we ask that you limit to one per caller. During today's call, our financial performance will be discussed on a constant currency adjusted basis. Our reported results, including foreign currency, can be found in this morning's press release. We will also be making some forward-looking statements, within the meaning of the federal securities laws, including our financial outlook. Forward-looking statements are not guarantees, and our actual results may differ materially from those expressed or implied in the forward-looking statements. Our expectations contain many risks and uncertainties. Principal risks and uncertainties that could cause our results to differ materially from our current expectations are detailed in our SEC filings. To find disclosures and reconciliations of non-GAAP measures that we use when discussing our financial results, you should refer to this morning's earnings release and to our SEC filings that can be found on our Investor Relations website. With that, I will turn the call over to Patrice. 
Patrice Louvet: Thank you, Karina. Good morning, everyone, and thank you for joining today's call. As we close out this third and final year of our next great chapter Accelerate plan, we are proud to have delivered strongly on both our strategic and financial commitments. Our achievements this fiscal year embodied so much of what Ralph Lauren Corporation stands for, as one of the most beloved iconic brands in the world. As Ralph would say, it's never been just about a tie or a polo shirt or a sweater. It's about the values that are so authentic to us. Quality, effortless style, time well spent together with family and friends, stepping into our dreams. This year's performance clearly demonstrates the growing desirability of our brand, which remains our most powerful asset and is resonating with consumers around the world. The breadth and appeal of our lifestyle portfolio of products, with an emphasis on elegant, timeless style and authenticity, and our proven key city ecosystem model enabling consumers to engage and transact with the world of Ralph Lauren Corporation like never before. These diverse drivers of growth spanning geographies, channels, and product categories have enabled us to successfully execute our plans while navigating global volatility over the past several years. And they will continue to drive our growth into the future. We reported fourth quarter results that exceeded our expectations on both the top and bottom line. This strong performance was broad-based, driven by every geography and channel. For the full year, we delivered 8% top-line growth, including record revenues for our international businesses in Europe and Asia, which together now comprise the majority of total company revenues. And adjusted operating profits grew 24%. This exceeded the expectations we laid out last May, even as we chose to invest in our long-term strategic priorities and returns to our shareholders. As we turn to fiscal 2026, the global operating environment has become more challenged with uncertainty around tariffs and broader consumer behavior. Despite macro pressures, we are well-positioned, having fundamentally transformed our business and built a more agile organization over the past several years. This strong foundation is built on a timeless brand that consumers know and trust, a portfolio comprised of 70% core products that perform across economic cycles, a culture of operating discipline with an ability to flex expenses, a diverse and agile supply chain, and importantly, a strong balance sheet. For our teams, this is a time to stay on offense while remaining prudent and agile in how we allocate our resources. We are pursuing opportunities that will strengthen our business for the long term, including further investments in our brands to increase desirability and market share, solidifying our presence in key markets, and new technology, data, AI, and analytics to better serve our consumers and drive greater efficiencies in our business. Now let me take you through a few highlights from the quarter. Three long-term strategic pillars: where we drove continued progress across our efforts to elevate and energize our lifestyle brand, drive the core and expand for more, and win in key cities with our consumer ecosystem. First, on our efforts to elevate and energize our lifestyle brand. Our brand uniquely transcends generations, genders, and geographies to our authentic values and lifestyle approach. We sit at the intersection of culture, and our marketing investments reflect this, spanning fashion, celebrity, sports, gaming, music, and more. From our unforgettable Olympics and summer of sports to our show-stopping fashion events in the Hamptons, Shanghai, Milan, and Paris, we create authentic, emotionally connected moments to engage and inspire consumers around the world. Highlights from the fourth quarter included first, our Global Spring 2025 Hamptons campaign, capturing the understated luxury and timeless style of Ralph's cherished beach retreats. We took the concept around the world from our latest Roblox digital experience Polo Beach to our Ralph's Hamptons house in Dubai, all culminating in our first-ever fashion event in Shanghai in early April. Second, of sports, with our fifth annual sponsorship of the Australian Open, our official countdown to the Milano Cortina 2026 Winter Olympics, and our 2025 Major League Baseball World Tour Tokyo Series. These sports activations generated over $23 billion in the quarter. Finally, our collections were featured on celebrities and friends of the brand from the street to the red carpet, including Selena Gomez at the Oscars, Hiroyuki Sonata winning his Golden Globe in Purple Label, Casey Musgraves at the Grammys, Kendall Jenner in our iconic pony caps, Gigi Hadid carrying our Polo ID bag, and Billie Eilish on her global album tour. Together, these activities are driving strong, sustainable growth in new customer acquisition and engagement. Over the past year, we added a record 5.9 million new consumers to our DTC businesses, a high single-digit increase to last year. This continued to be led by younger female, less price-sensitive cohorts. And we increased our social media followers by low double digits, surpassing 65 million, led by line Threads, WeChat, Douyin, and TikTok. We plan to build on this rolling thunder of brand activities with powerful new engagements into fiscal year '26 and beyond. Moving next to our second key initiative, drive the core and expand for more. Ralph and our design teams continue to create beautiful, exceptionally styled products for our consumers' modern lifestyles, all while staying true to the quality and sophistication that define our iconic brand. As the industry faces a number of inflationary cost pressures, from freight and cotton in recent years to tariffs, we remain laser-focused on our consumers and how we deliver value to them. We have a proven multi-year track record of AUR growth, all while continuing to strengthen our value and luxury perceptions. Our AUR growth has been driven by a combination of investments to elevate both our brand and product quality, geographic, channel, and category mix, discount reductions, and select pricing actions. These multiple drivers give us confidence as we continue to manage through cost headwinds with strong pricing power. This starts with our core products, which represent the majority of our business. Our broad portfolio of core products remains an important differentiator in our industry, even more so through times of uncertainty as consumers turn to brands and styles they know and trust. Core product sales grew low double digits in the quarter, as we successfully transitioned from a strong holiday into spring. Growth was led by cable knit sweaters, outerwear such as our quilted jackets, I swing windbreaker, and midweight down Gorham jacket, and hats. In addition, our newer linen offerings continued to gain momentum, up double digits to last year. Our high potential categories, including women's apparel, outerwear, and handbags, together increased high teens. Women's and outerwear highlights this quarter included sweaters, including our iconic Polo Bear and Flag sweaters, shirts, from Oxfords to linen and poplin, dresses, and our sold-out western-inspired fringe suede jacket with Neta Forte. Handbag sales once again outpaced our expectations, growing double digits in the fourth quarter and full year. This was supported by continued strength in our sophisticated Polo ID collection as well as the spring launch of our newest foundational handbag family, Polo Play. Featuring a vibrant rainbow of colors in pebbled Italian leather and cotton canvas, Polo Play is off to a strong start. Turning to our third key initiative, win in key cities with our consumer ecosystem. We continue to develop our key city ecosystems across every region this year. Comprised of our own and partner stores, digital flagships, and selective wholesale presence, these ecosystems support our brand elevation and growth, as we invite consumers to step into the cinematic world of Ralph Lauren Corporation. Within DTC, which comprises two-thirds of our business, we drove accelerated comp growth this quarter. Comps increased 13% above our expectations with double-digit growth in both digital. Globally, we opened 83 new owned and partner stores focused on our top cities largely in Asia. Recent store opening highlights included our Polo store opening on Jackson Street in San Francisco, marking our first return to the city since the pandemic, new stores in Beijing's Joy City and Seasons Place, and our newest boutique in Khan and candy shop concept at Brenkross in London, reinforcing our presence in the France and UK markets. All three regions outperformed our following our strong Q3 holiday results. We were particularly encouraged by double-digit growth in both Europe and Asia, including sustained growth in the UK, and more than 20% growth in China on top of a strong double-digit compare last year. And North America maintained healthy trends of mid-single digits on ongoing strength in DTC, and planned stabilization in wholesale. And finally, touching on our enablers. Our business continued to be supported by our five key enablers. Some of the highlights over the past year included successfully integrating predictive buying across 25% of our international DTC businesses, allowing us to drive greater inventory efficiencies and better service consumer demand. Celebrating the opening of the Ralph Lauren Sensor for Cancer Prevention at USC Norris, the first on the West Coast, and third in the US. Funded by the Ralph Lauren Corporate Foundation, these centers are part of an ongoing commitment to cancer care in underserved communities. And who could forget Ralph becoming the first fashion designer ever to receive the US presidential medal of freedom, recognizing his extraordinary contributions to culture and society. In closing, Ralph and I are proud of our team's dedication, agility, and excellent execution in delivering on our commitments. Our strong fiscal 2025 performance reinforces our confidence in our powerful brand, diversified growth drivers, and fortress balance sheet to support future growth. As we look ahead to fiscal 2026, we are staying prudent and flexible in what clearly continues to be a complex and dynamic global operating environment. Even within this context, we remain on offense, with a focus on driving our brand momentum and consistently executing on our strategic priorities. And with that, I'll hand it over to Justin and I'll join him at the end to answer your questions.
Justin Padicci: Thanks, Patrice, and good morning, everyone. Fiscal 2025 was another successful year for Ralph Lauren Corporation. We delivered on the financial commitments we laid out last May and made meaningful progress against our long-term strategic priorities. We closed out the year with fourth quarter results that exceeded our expectations across revenues and gross and operating margins. All three regions contributed to both revenue growth and operating margin expansion. In addition to driving excitement and desirability for our brand and product around the world, we were especially proud to reinforce our strong quality of sales, consistent with our long-term elevation strategy. At the same time, our strong balance sheet and cash flow generation enabled us to continue investing behind our key strategic growth drivers while maintaining our commitments to shareholders. We generated $1 billion of free cash flow this year, enabling us to return $625 million to shareholders through dividends and repurchases. And our Board of Directors recently authorized a 10% increase in our annual dividend and an additional $1.5 billion in share repurchases to support future returns. These results are strong proof points of our multiple drivers of growth as we enter the new fiscal year in the midst of a more uncertain global consumer backdrop. Let me walk you through our financial highlights from the fourth quarter, which as a reminder, are provided on a constant currency basis. Total company fourth quarter revenue growth of 10% was above our 6% to 7% outlook, driven by better performance in both our direct-to-consumer and wholesale channels. This year's later Easter shifted about one point of sales growth from the fourth quarter into the first quarter of next fiscal year. By region, Europe led our performance with sales increasing 16%, followed by Asia up 13%, and North America up 6%. Total company comp sales increased 13%, led by an acceleration in our own digital business and ongoing momentum in our brick-and-mortar channels. Total digital ecosystem sales, including owned sites and wholesale digital accounts, grew high teens, led by Europe. Total company adjusted gross margin expanded 260 basis points to 69.2%. This increase was driven by AUR growth, favorable mix shift towards our full-price and international businesses, and lower cotton cost, more than offsetting higher non-cotton material cost. AUR increased 9% in the fourth quarter, supported by strong full-price selling trends, reduced discounting, and favorable channel and geographic mix. We expect similar high single-digit AUR growth in the first quarter of fiscal 2026, reflecting our ongoing brand elevation strategy. Adjusted operating expenses grew 11% to 58.1% of sales, up 30 basis points to last year. The increase was primarily driven by higher comp fourth quarter marketing investments increased 9% to 6.5% of sales. Full-year marketing grew 11% to 7.3% of sales, ahead of our long-term strategic target of 7%, and we expect a similar level of marketing as a percentage of sales in fiscal 2026. Fourth quarter adjusted operating margin expanded 240 basis points to 11.1%, and operating profit increased 40%, both ahead of plan. Moving to segment performance, and starting with North America, fourth quarter revenue increased 6%, exceeding our outlook due to stronger than expected sales in both our DTC and wholesale channels. And the region delivered its highest fourth quarter adjusted operating margin since we began our Elevation journey more than eight years ago. In North America retail, fourth quarter comps increased 9% with strong growth in both our Ralph Lauren and outlet stores. Digital comps increased 8%, improving sequentially on recent interventions. And we drove another strong quarter in our digital wholesale business, with sellout up low teens. Total North America wholesale revenue increased 2%. Our wholesale AUR increased low single digits on well-positioned inventories in the channel. Full-price sellout was once again in line with sell-in this quarter after adjusting for the Easter shift, supported by a strong product offering and growth in core replenishment. While we are encouraged by our recent stabilization in the channel, we maintain our cautious outlook into fiscal 2026 on potential macro challenges in the broader North America market. We completed the exit of 60 department store doors this fiscal year, and we plan to exit about 90 doors in fiscal 2026, with approximately half of these related to Hudson's Bay. While the ongoing exits are not material to our financial results, we continue to proactively evaluate and refine our brand presence on a door-by-door basis. Moving to Europe, fourth quarter revenue increased 16%, driven by double-digit growth in both our retail and wholesale channels. All of our key markets delivered growth in the quarter and for the full year, led by Germany, France, and Italy. Sales grew in the UK for the second consecutive quarter, following several years of inflationary pressures, reflecting strong brand momentum and continued improvement in our underlying trends. Europe retail comps increased 18% to last year, led by our digital channels, with continued strong momentum in our brick-and-mortar businesses. Our digital ecosystem, including owned and wholesale digital accounts, grew more than 20% on top of a solid compare last year. Europe wholesale increased 14%, supported by strong reorder trends and the previously discussed timing shift of receipts from the second quarter to the back half of the year. Adjusting for the shifts, wholesale would have increased roughly mid-single digits to last year, in line with our underlying trend of low to mid-single-digit growth in the channel. Turning to Asia, fourth quarter revenue increased 13%, with all markets contributing to growth for both the quarter and the full year. Retail comps were up 15%, with strong growth in both digital and brick-and-mortar stores, fueled by our impactful brand activations across the region. By market, our performance was led by China, which grew more than 20% to last year on continued comp growth, high-quality new customer recruitment, and key marketing moments, including our Lunar New Year activations. Sales in Japan increased mid-teens to last year, driven by strong full-price selling and reduced discounting, along with continued tailwinds from foreign tourism. Moving to the balance sheet, we ended the year with $2.1 billion in cash and short-term investments and $1.1 billion in total debt. Net inventory was up 5% to last year, reflecting increased global demand for our products and the timing shift of Easter into the first quarter of fiscal 2026. Inventory levels are well-positioned relative to our outlook, and we continue to manage inventories with discipline in line with consumer demand. Strategic and thoughtful balance sheet management has been a key enabler for Ralph Lauren Corporation. Our strong balance sheet has allowed us to weather significant industry volatility, make the best long-term decisions to protect and enhance our brand, and fuel our strategic investments while also returning cash to shareholders. In the current environment, we are focused on leading into market opportunities and investing for long-term growth. This includes investing in key city marketing activations, upgrading our store experiences, and pursuing very selective real estate opportunities as we continue to drive DTC-led growth. For example, in April, we acquired our global Polo flagship location in Soho, Manhattan, one of New York's premier shopping destinations. Looking ahead, our outlook remains based on our best assessment of the current operating environment and consumer behavior. This includes tariffs, inflationary pressures, other consumer spending-related headwinds, supply chain disruptions, and foreign currency fluctuations, among other considerations. Given the high level of volatility in the current context, we consider our full-year outlook to be preliminary based on the information available today and subject to change as trade dynamics and other macro factors continue to evolve. For fiscal 2026, we expect constant currency revenues to increase low single digits, driven by our growth in our Asia and Europe businesses. We expect this year's performance to be heavily weighted to the first half of the year, notably Q1, with first-half revenues up roughly mid-single digits. While we have not seen a change in our underlying business trends from Q4 into Q1 to date, we believe it is prudent to take a more cautious view on the second half of the year based on a number of macro indicators. Notably, the impact of tariffs, weakening consumer confidence in the US, and increased risk of a broader consumer pullback, and a more uncertain global operating environment in general. We currently expect operating margin to expand modestly in constant currency, largely driven by SG&A leverage. Based on our current view of the tariff landscape, we expect gross margins to be roughly flat to last year, with AUR growth, discount reductions, and favorable product DTC and international mix, offsetting negative impacts from tariffs and non-cotton material costs. We are assessing additional pricing actions for full 2025 and spring 2026 to mitigate the potential impact of evolving tariffs. This is on top of the proactive pricing we already planned for 2025 in North America and Asia. While tariffs will primarily impact our gross margins beginning in the second half of the year, we have a proven toolkit to manage cost inflation headwinds. This includes first, significant supply chain diversification. We work with our many key suppliers worldwide to flex volume is based on quality and cost. No single country accounts for more than 20% of our production volumes, with most countries representing a single-digit percentage, including our China production for the US. Second, partnering with our suppliers to drive other efficiencies in our cost of goods and broader supply chain operations. And third, taking selective pricing actions and strategic discount reductions, with a goal of continuing to deliver the best value proposition for our consumers. While tariffs are expected to be a headwind, we are better positioned than ever before with greater agility to mitigate related pressures with a more elevated, less price-sensitive customer base, an international business that now represents 57% of our total revenues, up from 45% pre-pandemic. Gross margins that are 700 basis points higher than our pre-pandemic levels, and disciplined inventory management and the ability to flex expenses. We expect freight to be roughly neutral on fiscal 2026, based on our recent ocean contract renewals. Foreign currency is expected to have a relatively minimal impact on revenue as well as on gross and operating margins in fiscal 2026. For the first quarter, which is marginally impacted by tariffs, we expect constant currency revenues to increase approximately high single-digit. We expect first-quarter operating margin to expand approximately 150 to 200 basis points in constant currency, driven primarily by gross margin expansion, as well as by modest operating expense leverage. Foreign currency is expected to have a roughly neutral impact on revenue and on gross and operating margins in the first quarter. We expect our first-quarter tax rate to be in the range of 20% to 21% and a full-year fiscal 2026 tax rate of approximately 20% to 22%. Capital expenditures are expected in the range of approximately 4% to 5% of sales, in line with our long-term outlook. This includes our recent PrintStreet store acquisition and ongoing investments in our key city ecosystems, technology and AI, and our multiyear next-generation transformation project, which we kicked off fiscal 2024. In closing, we are proud of our team's execution in this third and final year of our next great chapter accelerate plan. Guided by Ralph's enduring vision of inspiring people everywhere to step into their dream of a better life. We will continue to navigate the evolving global environment with agility and resolve, and remain acutely focused on delivering on our strategic priorities. With that, let's open up the call for your questions.
Operator: You may remove yourself from the queue at any time by pressing star two. We ask that you limit yourself to one question per caller. Once again, please. The first question comes from Matthew Boss with JPMorgan.
Matthew Boss: Thanks and congrats on another great quarter. Thank you, Matt. So, Patrice, given the continued strong performance in a choppy environment, how are you thinking about the health of your consumer across regions, in today's more uncertain backdrop or what changes, if any, are you making to your strategy? And then Justin, maybe could you just help bridge the delta between high single-digit revenue growth in the first quarter relative to low single digits for the full year? Or what are you embedding in the back half by region relative to performance that you're seeing today?
Patrice Louvet: Good morning, Matt, and thanks for your question. So I'm going to start with the last part of your question and then address the consumer, and then we'll turn it over to Justin. So first of all, the last few years have really demonstrated that our strategy can deliver through very different types of environment. We have strong brand momentum with significant potential to continue growing across key markets and to continue to take market share. And we have proven resilience in our business model supported by strong execution by our teams across our key cities around the world, our agile and diversified supply chain, and our powerful balance sheet. So I would say the backbone of our strategy is as relevant today as it was a few years ago, and will remain broadly unchanged. Obviously, we'll be sharing more updates when we get together later this year for Investor Day. Alright. But the key tenants are we're continuing to invest in our brand, and continuing to focus on driving desirability and value perception, across generations. We're continuing to leverage the breadth of our lifestyle portfolio leaning into products that consumers know and trust, from our iconic sweaters to Oxford shirts to pony caps, and then we're deepening and expanding our key city ecosystem go-to-market model. With our brand really resonating around the world. That's one of the things Justin and I are most excited about our recent performance is the breadth of our performance across the markets wherever you go. The brand is resonating from Milan and Munich all the way to Shanghai, Melbourne, and closer to home here in New York. Now we're truly aware of the uncertainty that defines the current environment, one element of our culture and capabilities that we really reinforced in recent years is this muscle of agility. But as you've heard on this call, it's not about playing defense for us. It's about leaning into opportunities. Now, specifically, on your question regarding the consumer and what we're seeing, so it's clear that the consumer in general is pressured by the geopolitical economic environment. And we see that in consumer sentiment surveys in the US, in China, in the UK. When it comes to our core consumer, which as you know, are more elevated consumers, they have remained resilient as you heard from Justin's prepared remarks. We have not seen a change in the underlying trajectory of any of our three regions, APAC, EMEA, or North America. And our full-price sales continue to grow at a healthy pace. Now at the same time, we're in touch with reality and like all of you, we continue to closely monitor the macros. So to sum it up, we are still encouraged by what we're seeing so far a few weeks into our new fiscal year. We are clearly staying on offense while remaining prudent and agile in how we allocate our resources and execute in this environment. I'll turn it over to Justin to answer your question on the fiscal year planning.
Justin Padicci: Hey, Matt. So as Patrice mentioned, yeah, we're still seeing really nice momentum in our business across regions. And for our full-year outlook, you saw it's got pretty consistent growth trends for international led by Asia followed by Europe. North America is where we took a bit more of a cautious approach to our preliminary guide given the macro environment and the impact of cost inflation on consumer spending and notably for that second half of the year. Now we're focusing on our current trends. Right? The Q1 guide still reflects positive growth. Right? And she really a call on our part the macro. So it's really consumer sentiment, and the expectation that customers have to deal with significant pricing across the board as a result of cost inflation. It's our best estimate at this time of those two. And if they improve for the second half and the risk doesn't materialize, then we'll start opportunities to chase into and capture that higher demand that we saw as super hollowing.
Operator: Thank you. Next question, please. Thank you. The next question comes from Jay Sole with UBS.
Jay Sole: Great. Thank you so much. Justin, understand that the tariff situation is still unfolding and your outlook is subject to change based on, you know, some of these moving targets. But how should we think about your pricing strategy for fiscal 2026, especially in the context of all the AUR growth you've already delivered over the past eight years?
Justin Padicci: Thanks, Jay. You know, our company is well-positioned to manage to a variety of cost headwinds. As Patrice just talked, we've been on a multiyear strategic journey to elevate our brand, our products, our customer environment, and experience it. And one notable output of that, of course, has been AUR, which has grown every quarter for the past eight years. It is up pretty meaningfully over that same period of time. Another important output has been our luxury and value perceptions, which are also grown progressively over time. So the fall 2025, you know, we proactively plan for select pricing action in North America and certain of our other global markets like Japan, whereas as we all know, we're offsetting several years of structural FX headwinds. With the recent tariff announcements, what we're doing is we're assessing and reactivating our various proven levers to offset related impact. And these levers include first as you know, we've already significantly diversified our global supply chain over the past eight, nine years. And as the cost equation shifts, continue to reallocate production to markets with lower overall landed costs. At the same time maintaining our high levels of quality. You know, today, as a result of our diversification, no single country is over 20% of our production exposure. In our China and the US production is a single-digit percentage. Second, we're working together with our strategic supply chain partners to drive greater cost efficiencies. Third, continuing to drive overall cost savings across the value chain and increasingly leveraging AI analytics enable even more efficient inventory planning. And fourth, assessing selective pricing actions and further reductions in discount, both in North America and in our other regions with the continued focus on providing a compelling value proposition to our consumers. So specifically, your question, expect AUR for Q1 to trend consistently with the quarter we just reported. So up roughly high single digits to last year. For the balance of the year, staying flexible. We have a range of established levers that can activate that needs.
Operator: Thank you. Next question. Thank you. The next question comes from Michael Binetti with Evercore ISI.
Michael Binetti: Thanks for all the detail today. Congrats on a great quarter. Justin, could you just double click a little bit on the comment that you made earlier on pricing? It sounds like you had some that you do have included in the year. That you I think you phrased it as proactive, but it sounds like you're kind of included pricing in full for the tariffs that are on the table right now for the back half of the year. Maybe just some commentary there. And then if you could just maybe offer a little bit more color to one of your answers earlier on revenues by the geographies and first quarter to understand. It sounds like momentum is continuing across all three where we need to be mindful of any shifting or one-offs as we think about building up the model by the geographies and segment for the first quarter? Thank you.
Justin Padicci: Sure. So on pricing, just to take a step back, for a moment. Right? So we're on a long-term brand elevation journey. You've seen our AUR grow along with our value perception. And there are a number of durable drivers behind the AUR growth. Right? There's product elevation and mix. There's channel. And geo favorable mix. There's discount reductions, and there's targeted pricing. Right now, to discuss expect a high single-digit AUR growth. And in Q1, consistent with past quarters, but, you know, tariffs and any related medication actions have a minimal impact on that quarter. So while the situation is fluid and still evolving, we're confident have the flexibility to do what we need to do to offset any potential cost. Edwin, you saw Stuart during inflation. You saw a suit with freight cost, Pete. You saw a suit for structural FX weakness. And as you would expect, we're approaching this by looking at our full toolkit to mitigate any potential cost headwinds. Right? And one of those tools is price, but there are other tools as I just laid out. Now did proactively take price as I mentioned for fall 2025, a few months ago. So we're focused on, you know, reassessing additional opportunities as the situation evolves and really the number one foundational focus is ensuring the customer seeing value in our Elevation Board. Across product, marketing, experience, and environments.
Operator: And revenue psychology?
Justin Padicci: So the revenues by geography, I talked a little bit about this before. We think about the shape of the year, you know, overall, we're guiding sort of that low single-digit growth. I would say led by Asia at that sort of high single-digit mark followed by Europe. In that mid-single-digit growth range, and then with North America with that caution in the second half overall down low to mid-single digits.
Operator: Next question, please.
Justin Padicci: Thank you. The next question comes from Dana Telsey with Telsey Advisory Group.
Dana Telsey: Morning, everyone. Given the as we think about next year, how are you thinking about marketing spend? And, Patrice, the potential categories of women, outerwear, and handbags did very well up high teens. How are those being planned going forward, and what are you seeing there? And just lastly, the real estate ownership of SoHo was very interesting. What is the real estate plans for this upcoming fiscal year and does any other ownership being thought about? Thank you.
Patrice Louvet: Alright, Dana. Thank you. Good morning. Listen, on marketing, you know, that we've taken marketing up significantly over the past few years. It used to be less than 4% of revenue, were a record high 7.3% of revenue this past fiscal year. We expect to continue at that level the fiscal year that we just started. What that enables is a portfolio of marketing activation that enables us to talk to many different generations ranging from activities around the Hampton show to our Major League Baseball activation in Tokyo to Roblox Polo Beach activity. So expect that to continue. And then as we've talked in prior meetings, you know, over time, we would like to continue to expand our marketing investments while also continuing to expand the overall profitability of the company. So more to come on that when we get together for Investor Day in September. I'm glad you noticed our high potential categories of done particularly well. We're really pleased with the work that our teams are doing on women's apparel outerwear across all brands, and handbags. We have very nice momentum across all three. We are building scale across these businesses. I feel very good about the capabilities that we have in place. These markets, as you know, to use Matt's favorite terminology of TAM, total addressable market, have significant potential for us. And so you're going to see us continue to build on the core because that's the foundation of this company. And the core did well again this quarter. But continue to drive accelerated performance across all three of these different businesses where the consumer is clearly responding across generations. When it comes to real estate, I'm turning over adjustment.
Justin Padicci: Perfect. So then, you know, when you think about our capital allocation, principles that we've talked, they're consistent and they remain largely unchanged. So first and foremost principle is investing in our business focused on strong ROI opportunities, right, both in the short term and the longer term. And I would include targeted real estate acquisitions here as well. You know, the Prince Street purchase really about investing in our business by pursuing a selected key location of store that we plan to be in for the long term that plays an iconic role in our key city ecosystem right. New York City, one of our key top ecosystems. French ReStore, our global Polo flagship. We've been there for many years. It's a really smart investment to purchase this location. To future-proof our business in this critical market, and it also results in pretty meaningful year-over-year P&L benefit due to the rent save. You know, we're on a DTC-like growth path here, and this is reinforcing that strategy by putting our balance sheet to work a little bit more and show that we can do both. We can deliver on our short-term commitments and also continue to make investments in longer-term growth.
Patrice Louvet: And, Dana, I think as you look ahead, exactly to Justin's point, as we build these key city ecosystems, we're going to be very selective where we see these real estate opportunities but where we have prime presence that we believe will be important for the business for the long term. And if there's an option to put our resources to use in a smart way, then we will do that. But expect us to do that very selectively for iconic locations.
Operator: Next question, please.
Justin Padicci: Thank you. The next question comes from Ike Borja with Wells Fargo.
Ike Borja: Hey, everyone. Let me add my congrats to the quarter, to the brand, Heat. Maybe, Justin, wanted to kind of focus on the US wholesale channel. So you've kind of seems like sell on sell has been stabilized. The, you know, the channel is growing a little bit, but I know you've got some door closures and you're still refining it to some extent. Can you kind of just talk about the outlook for that channel from a growth perspective and how and how you're kind of thinking about it multiyear from here?
Justin Padicci: So, you know, I would say we're encouraged by the, you know, sequential improvement that we see in that channel stabilization of the business and recent quarters. We have sell-in aligning with sell-out and positive. Sell-out, which continues to date. Market shares across our brand portfolio and consistently solid quality of sales. So our brand's in a strong position here. And our presentation and door exposure in the channel, as you mentioned, is more elevated after we gone through the step change in refining our distribution. We've been on this multiyear journey to shift our customer base towards less price-sensitive consumers especially in the full-price channel. So this sort of fits that bill. In Q4, again, continuation of trend, and I would say no impact on our underlying trends today. But the macro headlines are pretty prevalent. In the US right now. Right? And they're weighing on consumer sentiment. So we want to be mindful of that in our assumptions and our outlook for the US for fiscal 2026 does take into consideration some unit elasticity in the second half, in reaction to broader industry price increases, particularly where consumers are more price-sensitive. Know, that said, we've got momentum here. Our strategy is, you know, continue to prune the lower tiers and add to the top. We have great track in our top-tier distribution and accounts. Strong traction in digital, strong traction in key doors. We didn't see no need in there. And take share and navigate what we expect to be a chat environment.
Operator: Thank you. Next question, please, Angela. Thank you. The next question comes from John Kernan with TD Cowen.
John Kernan: Good morning. Let me add my congrats as well.
Patrice Louvet: Thank you, John.
Justin Padicci: Thanks, John. Exactly. Justin, I wanted to talk Europe. Obviously, tremendous growth, particularly in DTC. The set the geographic EBIT margin, you know, now at 26% at your highest margin region. Like, maybe talk more about know, the key city approach here, know, the high growth categories like women's and also the outlook for the operating margin here as it continues to provide a nice accretive margin, Mitch.
Justin Padicci: Absolutely, John. So we're encouraged by our underlying momentum here. And the meaning by our strong elevated brand positioning throughout the region. That a competitive advantage for us. We delivered another strong quarter in Q4 and really it was broad-based. Right? Growth across all key markets and all channels. And we saw that momentum continuing to Q1 to date across all of our key markets. And I think some of the marketing we've been activating in that region is really, really cutting through and driving strong new customer acquisition as well as strong traffic. We guided our continued growth in Europe in our 26 side. We're comping up against a pretty strong second half. And as you think about the backdrop that we're operating in, I would say we're encouraged by our positioning and performance, but still cautious with settlements still pressured despite easing inflation in market like the UK, in Germany, in Spain, and also there's still some geopolitics and we have the Red Sea and two wars that we can still, going on. So I guess from a guy's perspective, know, if the macros improve as we move through the year and the rest doesn't materialize, then think we feel good about our opportunities to capture the incremental demand. I think the key city eco strategy that we kind of started with in Asia and now have rolled out globally is really working well in Europe. And you're seeing not only from a marketing activation perspective, London, in places like Paris, etcetera. But also, it's think about what we're doing in opening up new stores, you know, Europe is an area where we have meaningful white space, and we're opening up new stores into that white space across regions focused on the key cities and that's another reason to believe that the momentum we have currently will continue both.
Patrice Louvet: John, just to put some color on that in terms of the number of stores open. So in Investor Day, fiscal year 2020, when we were together in September 2022, we talked about opening 40 to 50 on and partner new doors across EMEA. We're right on track on that. We're actually slightly ahead of it. And for this fiscal year, we're planning ten new owned stores and another 25 partner stores. The starting point, as you know, across this region, was very limited presence. Right? We were particularly on full price. We're very dependent on wholesale and our teams in Europe have done a fantastic job just transforming how we show up where we show up, elevating the presence, leaning into direct to consumer, leaning into digital, and I think you're seeing that translates into the performance this past quarter and, honestly, this full year where Europe delivered double-digit growth for the full year in what continues to be, we often forget it, but a very challenging environment.
Operator: Thank you. Next question. Thank you. The next question comes from Laurent Vasilescu with BNP Paribas.
Laurent Vasilescu: Good morning. Thank you very much for taking my question. Patrice, I wanted to ask about China. China was very strong in this quarter. I know you don't comment about the comment about what you're seeing, what your expectations are, that is that Asia growth of high single digit for fiscal year. And then Justin, on the gross margin, it mentioned that the tariff impact will start to materialize in 2H. Can you for the audience maybe quantify in basis part points terms what your gross margin for this year? Thank you very much.
Patrice Louvet: Good morning, Laurent. Okay. China, we're more than happy to talk about China. So delivered a strong quarter up 20%. This comes on top of 20% growth last quarter. In last fiscal year, this is on top of double-digit growth. So many quarters and years now of strong consistent performance in China, I am very proud of the work that our teams are doing in that market. What underpins this is a combination of really strong consumer engagement and marketing activation. And when we look at key metrics on our China brand performance, our awareness is increasing meaningfully, our luxury and value perception is among the highest in the world, our consideration, particularly among the younger cohorts, is increasing meaningfully. You are seeing the pace of marketing activations in China actually accelerate. Back in the fall, we did the very Ralph documentary showing in Shanghai. The number of people that viewed it live is in the tens of millions of people. We recently had very powerful Lunar New Year activations that, differently from many of our competitors, are not focused on promotional activity. But rather focused on new consumer recruiting through storytelling and engaging moments. Then we had our first fashion show in Shanghai just a few weeks ago. So marketing activation accelerating and being very impactful. We're also expanding our store footprints in a quality way, in an impactful way, and all the stores that we're opening are actually coming in ahead of our expectations, generally. Then we have strong comp performance that underpins that. If you look at our expectations for this fiscal year, you're right that we generally don't guide by market. But our expectation is we're going to continue to build on the momentum we have in China. As you know, this is still a big growth opportunity for us. You know, today, China is about 9%. Last quarter, I think it's 9% of total company, so significant opportunity for acceleration. And continued expansion. Our assumption at this point is that China will be up low double digits in the fiscal year. So maintaining this double-digit performance as we continue to activate, recruit new consumers, expand our footprint. And, Laurent, on the gross margin for fiscal 2026 call, so based on our current view of the cost headwind landscape, you know, for the full year, we expect gross margins to be flat with our durable tailwinds of AUR growth, discount reduction, and favorable product. Challenge, geographic mix. Offsetting the headwinds from cost inflation, including tariffs and also nonmaterial patent cost labor etcetera. And I would say from a quarterly cadence perspective, we're planning for a stronger first half. A gross margin perspective as opposed to the second half, which again speaks to the timing of when the cost headwinds are set.
Operator: Next question, please.
Justin Padicci: Thank you. The next question comes from Chris Nardone with Bank of America.
Chris Nardone: Thanks, guys. Good morning. For longer term, Patrice, can you discuss your confidence level in driving operating margins higher beyond this year's expectation of the modest expansion? Maybe it'd be helpful if you could discuss what geography still potential to see further AUR gains beyond the first half of this year.
Patrice Louvet: So why don't we talk to him on this one? Because Justin is our resident expert on operating margin expansion. Sure. Why don't you take that? I'll talk to you. I'll talk to you.
Justin Padicci: Absolutely. So, you know, Chris, taking a step back, and we're really pleased with where we came in this year and how we over-delivered on our three-year commitment into our 15% operating margin target in 2022 rates at the end of fiscal 2025. I think as we think about the outlook going forward, you know, 15% cost dollar is not a ceiling. We're gonna continue to balance margin expansion with making investments in long-term strategic growth. So I think for this year, you see we've guided for modest operating margin expansion despite some macro pressures and some cost headwinds, that's really driven by SG&A leverage as we start to scale from the investments that you've seen us made. Over the previous couple of years. And I think, you know, beyond fiscal 2026 World Cup, more at our upcoming investor day but likely still expecting a combination of growth margin expansion, modest gross margin expansion, and operating expense leverage to be the driver of our profitability. And on AUR, Chris, the short answer is yes. The more expanded answer is as follows. We'll obviously, we'll guide when we get together for investor day on how to think about top-line growth for the next three years. But the way we think about it is really three drivers, right, for top-line growth. Continued AUR expansion, unit growth, and new consumer recruiting. Right? And you saw how closely new consumer recruiting and top-line growth correlated this year since new consumer recruiting at 5.9 million is up low double digits and, you know, we're growing high single digits. So strong correlation between the three. So all three will be drivers for top-line growth moving forward. As you look at the drivers for us of AUR growth, right, this is still the elevation strategy that's playing out that we're gonna continue to thrive. So we are on an elevation journey. We are pleased with the progress we are making, and we still have meaningful opportunities looking ahead. Our AUR drivers will continue to be product mix, channel and geographic mix, continued promotional pullback you saw in this last quarter, another example of our ability to significantly pull back on promotions. I think the number is 270 basis point reduction in promotional investment, while at the same time, strengthening consumer value perception. While at the same time strengthening luxury perception. And then fourth vector is like pricing. I think as we continue to elevate the storytelling, as we continue to elevate the product offering, and the quality, as we continue to elevate the engagement over the shopping experience, whether that's online and brick and mortar, then that drives value perception and luxury perception. That then enables AUR. So expect that to continue. We'll talk about what we expect the relative size of these three drivers, AUR, unit, and new consumer recruiting to be in the overall mix. We see opportunities across all three regions. So, interestingly, you know, people look at our AURs in China in particular, and they say, wow. You know, can you go further? Can you go beyond that? And I think the teams are demonstrating quarter on quarter that when we do a good job on storytelling, product, and shopping experience, then we create the opportunity for us to continue to expand AUR. So we're eight years into this AUR journey. Eight years into this elevation journey. We're going to continue to run that play, again, with agility. And with discernment as we look at where we allocate our resources.
Operator: We'll take the last question, please. Thank you. The last question. Our final question comes from Tom Niedem with Needham. Your line is open.
Tom Niedem: Hey, everyone. Thanks for taking my question. It sounds like most of your macro-related cost caution is domestic. I was just curious, you know, if you're if there's any caution or if you've seen any, you know, kind of pushback from consumers outside the US, just, you know, kind of given some of the rhetoric around tariffs and, you know, given how, you know, kind of Americana focused, you know, the Ralph Lauren Corporation brand images. You know, I'm wondering if there's any caution around the international business given the political situation.
Patrice Louvet: That's a good question. So I mean, you're right that most of our caution is domestic. Particularly in the second half of the year. As you can imagine, we're tracking consumer sentiment and social activity quite closely. Both for our industry and for our brand in particular. At this stage, we have no callouts in terms of slowing brand momentum or any concerns with anti-American sentiment that would apply to our business. Now it's important to keep in mind that ever since Ralph founded this company, this company is founded on values that are pretty universal. Right? You think about optimism, authenticity, timelessness, elegance, family, those are globally relevant and pretty universal. And I think resonating really well wherever we play, including markets where you might be concerned about anti-American sentiment. We are not seeing any of that at this stage. We continue to monitor that and make sure that we're engaging consumers in a way that's most effective and relevant for them. Alright. Well, thank you everyone for joining us today. We look forward to speaking with you on our first quarter earnings call in August. And in the meantime, take care and have a great day.
Operator: Ladies and gentlemen, you may disconnect